Operator: Greetings, and welcome to Alpha Metallurgical Resources Third Quarter 2022 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. Please note this conference is being recorded. I would now like to turn the conference over to your host, Emily O'Quinn, Senior Vice President, Investor Relations and Communications. You may begin.
Emily O'Quinn: Thank you, Rob, and good morning, everyone. Before we get started, let me remind you that during our prepared remarks, our comments regarding anticipated business and financial performance contain forward-looking statements, and actual results may differ materially from those discussed. For more information regarding forward-looking statements and some of the factors that can affect them, please refer to the Company's third quarter 2022 earnings release and the associated SEC filings. Please also see those documents for information about our use of non-GAAP measures and their reconciliation to GAAP measures. Participating on the call today are Alpha's Chairman and Chief Executive Officer, David Stetson; President, Andy Eidson; Todd Munsey, our Chief Financial Officer; Jason Whitehead, our Chief Operating Officer; and Dan Horn, our Chief Commercial Officer. With that, I'll turn the call over to David.
David Stetson: Thanks, Emily, and good morning, everyone. Today, we are pleased to report another strong quarter, thanks to dedication and excellence of the Alpha team. Today, also marks my final earnings call as CEO before turning over the reigns to Andy Eidson at the end of the year. At that time, I will transition to the role of Executive Chairman, which will allow me to continue to work with the management team as well as the Board on strategic initiatives. We are excited to have Todd Munsey, joining us today in his new role of Chief Financial Officer. The coal industry has certainly been on an interesting journey these past 18 months, and that has been true whether you produce thermal or metallurgical coal. As a metallurgical coal producer during this period, we've seen highs in pricing that no one could have imagined or predicted. The markets have experienced geopolitical events, supply and capital constraints and most recently, challenging economic conditions and issues here in the United States as well as abroad. Through this tumultuous time, Alpha has remained disciplined and focused on our core fundamentals, and it is this discipline and focus that has made Alpha leader in the coal industry. It wasn't long ago that $300 million of EBITDA on a quarter would have been considered a [indiscernible], so Alpha is very proud of this quarter's performance and over $14 of earnings per share that we have reported today. As Todd will discuss with you shortly and from the press release we issued this morning, in the quarter, we sold approximately 44% of our exported met production into markets that are priced on Australian indices, which resulted in realizations of $161 per ton. As 65% of our production is shipped into the export markets, our revenues and realizations are based on multiple variables, including the timing of vessels to parting, quality and rank of the coal being shipped, destinations for our products and a correspond indices for those destinations. Todd and Dan will provide you with much more detail on this topic, but those same Australian indices that averaged $250 per metric ton in the third quarter are currently reflecting $300 in the recent time. Each year, our team has robust conversations and discussions on how much of our diverse product offerings we will allocate into domestic versus international markets. We examined multiple variables from qualities and ranks of our coal anticipated for the 2023 timeframe, economic conditions demand through the markets in which we participate and logistic and transportation costs. Based on those assessments, we announced in September that we committed approximately 4.5 million tons of metallurgical coal for shipment into the domestic markets for the upcoming calendar year 2023. Today, we released the average pricing of those domestic tons, which came in at $192.72. We are also building out the export side of our business and completing our budget for presentation of the Board in coming weeks, and we will be providing 2023 guidance after input and approval from our Board. With strong markets this year, our primary goal was to eliminate our long-term debt and provide Alpha with stability for years to come. However, I was thrilled that we had the ability to not only pay down our debt, but to successfully execute on our capital return program. At the end of October, Alpha has bought back over $450 million worth of common stock, exhausting more than three quarters of the Board's prior $600 million share repurchase authorization. Todd is going to provide you with more granular details, but as of October 31, our balance of common shares outstanding was approximately 15.9 million shares. We continue to believe that our shares are undervalued by the markets. In this past week, our Board increased the program by another $400 million, bringing the total authorization to $1 billion. Additionally, the Board declared a one-time special dividend of $5 per share to be paid on January 03, 2023 to holders of record on January 15, 2022. This is an addition to the increased fixed dividend in the amount of $0.418 per share. As I've said many times before, our goals have been clear to pay-off our long-term debt, increase our cash balances, and meaningfully return capital to shareholders. I remain proud of the collective efforts of the Alpha team to deliver on these objectives. With that, I will turn the call over to Andy.
Andy Eidson: Thanks, David. Good morning, everyone. As David mentioned, today's call marks another step in the leadership transition efforts we described last quarter. Instead of sharing the financial details of our quarter with you this morning like we usually do, I have the honor of introducing Todd Munsey, who will be handling these duties going forward. Todd was named Executive Vice President and Chief Financial Officer on August 9, and he has already shown himself to be more than up to the task. I am excited for this audience to get to know Todd better, but as a very brief reminder of his biography, he has been a key member of leadership here at Alpha for quite some time, having served the company as Senior VP and Controller since 2016 and prior to that in a number of high level roles in our tax and accounting departments after getting a start at PricewaterhouseCoopers. As I said last quarter, I have great confidence in Todd and he will serve Alpha well in this expanded role. With that, I will turn it over to Todd for discussion of our financial goals.
Todd Munsey: Thanks for the introduction, Andy. I am excited to be serving in this position and I look forward to getting to know our investors better over the coming months. As we look to our third quarter results, the Alpha team put together another very solid quarter of performance with adjusted EBITDA of $295 million in Q3. While this is down as expected from the record levels achieved in the second quarter, it's still a very strong quarter from a historical perspective. We sold 4.1 million tons in the second quarter with 3.9 million tons coming from our Met segment and 200,000 tons coming from the all other category. Due to indices falling from their all-time highs earlier in 2022, our third quarter realizations dropped on a quarter-over-quarter basis. Realizations on total export met tons for the quarter came in at an average of $187.84 per ton down from second quarter’s average export realization of $337.38 per ton. Export tons priced against Atlantic indices and other pricing mechanisms in the third quarter realized $208 per ton, while export coal priced on Australian indices realized $161.58, a quarter-over-quarter reduction largely resulting from lower priced volumes into Asia. Our third quarter realization for our metallurgical sales was a total weighted average of $191.17 per ton down from $304 per ton in Q2. Third quarter realizations in the incidental thermal portion of the Met segment averaged $119.69 per ton. In comparison, the incidental thermal realization within the Met segment for the second quarter was $68.75 per ton. Realizations in the all other category were $109.27 per ton for the third quarter up from $61.41 in Q2 as a result of the improved pricing environment for thermal coal. Our Met segment cost of coal sales decreased to $104.86 per ton in the third quarter down from $111.36 per ton in Q2. The primary drivers of the decreasing cost were royalties and severance taxes, which were lower in Q3 as a result of lower realized sales prices. Cost of coal sales in the all other category increased to $67.48 per ton in the third quarter up from $49.90 in the second quarter. The higher costs in the all other category are attributable to higher sales related costs for thermal coal, resulting from an improved pricing environment as well as the impacts of late-stage mining at our Slabcamp mine. SG&A excluding non-cash stock comp and non-recurring items decreased to $13.6 million in the third quarter as compared to $16.8 million in the second quarter. CapEx in the third quarter was $33.3 million, down from $41.9 million in the prior quarter. Due to supply chain challenges and contractor labor constraints for some of our 2022 CapEx projects, we are running below the annual guidance range as of the end of Q3. We expect to make up loss ground during the fourth quarter, but it is possible that some of these planned 2022 expenditures may roll into the following calendar year. When we release 2023 guidance, we will provide some additional color on our CapEx projections. Moving to the balance sheet and cash flows. As of September 30, 2022, we had $404.4 million in unrestricted cash up from $161.7 million at the end of the second quarter. Alpha had $91.1 million in unused availability on our ABL at the end of both the third quarter and Q2. Total liquidity nearly doubled quarter-over-quarter from $252.8 million at the end of June, up to $495.5 million at the end of September. This amount is net of our $196.3 million in share repurchases during the quarter. Due to the elimination of Alpha's term loan debt earlier in the year, our 2022 cash interest expense is trending toward the lower end of our established guidance range of $18 million to $22 million. Cash provided by operating activities increased again quarter-over-quarter, producing a new record high of $497 million in the third quarter. Alpha has generated $1.29 billion in cash from operating activities in the first three quarters of the year. As of September 30, our ABL facility had no borrowings and $63.9 million of letters of credit outstanding, the same level as the previous quarter. As we move into the final months of the year, we are fully committed in both our Met segment and the all other category. 87% of our metallurgical tonnage in our Met segment is committed and priced at the midpoint of guidance at an average price of $243.30. Another 13% of our 2022 met tonnage at the midpoint is committed, but not yet priced. The thermal byproduct portion of the Met segment is fully committed and priced at an average price of $97.43, and we are fully committed and priced for 2022 in our all other category with an average price of $77.69. Focusing next on capital return. Alpha's Board has declared a cash dividend of $0.418 per share, an increase from prior quarters $0.392 per share, which will become payable on January 3, for holders of record as of December 15. In addition, the Board declared a one-time special dividend of $5 per share to be paid on January 3, for holders of record as of December 15. In terms of share buybacks, we announced that the Board increased the repurchase authorization to $1 billion, up from the prior $600 million authorization. We have continued to buyback shares of our common stock and within the third quarter alone, we repurchased 1.4 million shares at a cost of $196 million. As of October 31, we have spent approximately $452 million to acquire 3.1 million shares of Alpha's common stock at a weighted average price of $144.12 per share. The outstanding share count has been reduced by roughly 14% from the time the program began. As of October 31, 2022, we had approximately 15.9 million shares of common stock outstanding. I will now turn the call over to Jason for some details on our operational performance.
Jason Whitehead: Thank you, Todd, and good morning, everyone. Our operations teams had another positive quarter of performance, especially given the challenging landscape we are all experiencing related to labor, supply chain and inflationary pressures we've discussed on recent calls. While these factors still persist, I'm proud to say our teams continue to work diligently to overcome these obstacles. At the same time, our teams turned in another strong performance on the safety and environmental fronts. On prior earnings calls, we've discussed our ongoing work on our 15-year mining plan, ensuring we are prepared to maintain our diverse product offerings and the ability to keep current or improved volume outputs. We also announced the first cuts of coal from our new Mid-Vol Glen Alum Tunnel Deep Mine, which was part of that 15-year plan. Production continues to go well there as well as at our entire portfolio of mines. We are focused on continuing to produce safely and efficiently and to finish out 2022 strong. Another key and critical component to executing on this 15-year plan is maintaining our fleet of production equipment. In light of supply chain shortages, we've already spoken to and increased demand from other operators and other industries. I'm very proud of our team for executing on our equipment rebuilds schedules this year with roughly 25% of our underground production fleet turning over through the rebuild processes. With respect to underground equipment rebuilds, we have similar expectations for calendar 2023. Although surface equipment has a much higher life expectancy than underground, in 2022, we have initiated and we are nearing completion of the first year of our six-year plan to replace many of our surface haul trucks, and we purchased two new hydraulic excavators that are expected to go into production in the first half of 2023. Once our budget is completed for the coming year, we will discuss in more detail our plans for production and development. As Todd mentioned earlier, our teams have run into contract labor and supply chain challenges with some of the plan upgrades we announced within our Project CapEx for 2022. While we continue to forge ahead on these projects, it is reasonable to expect that we may need the early months of next year to bring them to completion. Again, I commend our teams for the ability to keep things running smoothly in the phase of these delays. I'll now hand the call over to Dan for some additional information on the markets and our sales efforts.
Daniel Horn: Thanks, Jason, and good morning, everyone. As you know, the broader global marketplace is experiencing some headwinds. Continued recessionary pressure, weakening economic conditions, the ongoing war between Russia and Ukraine and the intensifying European energy crisis are all shaping the landscape. Coal markets are being influenced by these factors, and the indices softened within the quarter, but it solidified or even increased in recent weeks. In short, pricing volatility continues in the phase of macroeconomic uncertainty. Taking a specific look at metallurgical price movements during the third quarter, the Australian Premium Low-Vol index dropped from $302 per metric ton on July 1, to $270.50 at the end of September. The U.S. East Coast Low-Vol index declined from $315 per metric ton at the start of the quarter to $270 per metric ton on September 30. On High-Vol, the U.S. East Coast High-Vol A index moved from 325 per metric ton down to $287 per metric ton at quarter close. The U.S. East Coast High-Vol B fell from $317.50 per metric ton to $284 over the course of the third quarter. The pricing movements for High-Vol A and B have largely leveled off in recent weeks to hover at or near their quarter-close levels. For Atlantic Low-Vol and the Aussie Low-Vol both have increased off the quarter close levels to $302 and $320.50 respectively in recent days. The most common question in Met markets today is related to the impact that global market headwinds may have on our customers steel production in the near-term. In its periodic review of macroeconomic factors affecting the steel industry, the World Steel Association issued revisions in October to its short range outlook for 2022 and 2023. The WSA forecasts a contraction in steel demand of 2.3% for full-year 2022. The association now projects a recovery of 1% for steel demand to next year 2023, which represents a downward revision from its previous estimates. The group attributed the altered outlook to deteriorating economic conditions over the course of this year 2022, including persistent inflation and rising interest rates globally, alongside Russia's invasion of Ukraine and China's economic deceleration. The WSA cited infrastructure demand as the expected catalyst for slight increases in global 2023 steel demand, contingent on the impact of tightening monetary policies, falling consumer confidence and further inflation risk. However, metallurgical coal supply remains tight across the globe due to significant underinvestment over the last several years, and the lack of incremental tonnage scheduled to come online in the immediate term. Turning to the thermal coal market. The volatility in the seaborne thermal coal market, largely a result of Russia's invasion of Ukraine and its effects in Europe, continued through the third quarter with the API2 index at $328.95 per metric ton on July 1 and declining to $312 per metric ton as of September 30. In the weeks following the quarter close, the API2 fell back below pricing for metallurgical coal qualities, which has historically been the norm. As a comparison point, the Central App index for 12,500 BTU coal on the CSX has been around $175 per short ton in recent days. As we discussed last quarter, we have opportunistically sold a small amount of High-Vol met coal into the thermal markets, and we will continue to consider this as opportunities and pricing arbitrage allow. However, we remain focused on servicing our metallurgical customers and we expect tonnage falling into this crossover category would continue to be relatively small for us, likely in the few 100,000 ton range. Before I close, I will provide a quick comment on real performance as this has been a topic of interest and discussion over the last several calls. We continue to be in close contact with our real partners, and the performance over the last several months has remained positive. We appreciate all that they have done and are continuing to do to address their labor and operating challenges. Of course, we joined the rest of the industry in watching whether the railroads will resolve their union negotiations and avoid a strike later this month. If a strike does occur, however, we urge Congress to quickly respond to avoid the detrimental effects that this would bring, not only to the coal industry, but to the entire U.S. economy. As we look ahead to 2023, David mentioned our domestic commitments of 4.5 million tons at an average price of $192.27. We are pleased with this business and look forward to building on this firm foundation for next year. With our budgeting process nearing completion, we hope to have more details to share with you in the coming weeks about Alpha's projections for 2023 at our expected sales volumes. For now I will simply reiterate that we continue to have positive conversations with our customers about future commitments and demand for our products remain strong. I am personally optimistic about Alpha's outlook for next year, and I look forward to discussing our projections in more detail on a future call. And with that operator, we are now ready to open the call for questions.
Operator: Thank you. At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Lucas Pipes with B. Riley Securities. Please proceed with your question.
Lucas Pipes: Thank you very much, operator, and good morning, everyone. My first question is on the mix. So in Q3, the thermal contribution within the Met segment was a bit higher than I expected. And I was just wondering if you could provide a little bit more color on that. Was that you taking advantage opportunistically of the strength in the thermal markets, Met markets were a little weaker during the third quarter? So some of your peers built inventories or shipped fewer tons. So did you respond to the market there or was it just operationally, Q3 has higher maintenance and such that maybe also contributed to this, so interested in your perspective on that. And then going forward, you just mentioned in the prepared remarks, you would expect just a few 100,000 tons of crossover going forward, but if you could maybe elaborate on the mix and thermal contribution would appreciate your color. Thank you very much.
Daniel Horn: Hey, Lucas, this is Dan. I mean, broadly speaking, yes, we did – we're a little bit opportunistic in Q3. We did some thermal exports to take advantage of pricing, but overall, I think we're more or less where we thought we'd be. I wouldn't say it was a big, big increase. But in other words, at the same time, maybe some of the seaborne was up a bit, maybe we were down on the domestic front. And going forward, the several 100,000 number reflects, just a view of the coal qualities that we think might have some interest in the thermal market. Generally speaking, we're talking about, weaker High-Vols, High-Vol B type coal, higher sulfur coal. So we don't have any specific plans for those tons, but we just wanted to give a rough estimate of what we think it could look like for you because we figured you might ask.
Lucas Pipes: I appreciate the color. Thank you very much for that. That's helpful. Few quick follow-up questions. On the domestic sales front for 2023, should we assume that that business is by and large concluded for Alpha or might there be more sales into the domestic market beyond what you already announced? Thank you very much for your color on that.
Daniel Horn: There still could be a few more sales, but I think it's safe to say by and large, it's winding down. Most of the coal that we're aware of has been purchased for 2023.
Lucas Pipes: Very helpful. Thank you. And then, last one, great announcements on the capital return front. That's really impressive and I want to congratulate you and the entire team on what the company has been able to accomplish there. There has been a little bit more talk about M&A more recently and wondered if you could maybe share your thoughts on that topic to what extent, Alpha might have any interest there or not or remains committed to just capital returns. Thank you very much for your color.
David Stetson: Thanks. Lucas, this is David. We have a strong commitment to our capital return program. The Board authorizing $1 billion of authorization for share repurchase, we already spent over $500 million into that program, and that's where our commitment is. On the M&A side, we just saw the news this week that the Coronado-Peabody discussions were off. So as I've said previously, I think I can go back Lucas to 2016 at the Seaport conference when I was asked that question, I don't think my answer has changed since then. You really haven't seen a lot of M&A from our perspective. Any type of M&A activity for us would probably just be bolt-ons to us or other acquisitions that we would deem to be strategic. And that does not necessarily have to mean into coal reserves. It could be things that also assist us in the supply chain and other manners. But right now, our focus and dedication is to the share return program. We've got our debt paid off. We've been extremely clear. We appreciate the confidence that the shareholders have had in the company. And the $1 billion share return program on share purchases reflects our appreciation to our shareholders for their confidence, and that's where our priorities lie at this point in time.
Lucas Pipes: Thank you very much, David, for your perspective. And David to you, and all the best going forward, I hope you get to enjoy it a bit and I know you won't be far from the coal field, so best of luck going forward.
David Stetson: Thanks, Lucas. Really appreciate it. Thank you so much.
Lucas Pipes: Thank you.
Operator: Our next question is from Lance Vitanza with Cowen. Please proceed with your question.
Jonathan Everett: Hey. Good morning, everyone. This is Jonathan on for Lance. I'd like to start off with just learning a little bit more about how the lockdowns in China are impacting medical pricing from your perspective and how they are impacting AMR's revenue, profitability margins as well as its financial 2023 outlook?
Daniel Horn: Well, this is Dan. I'll take a stab at that. I guess, first of all, China's not been historically a natural market for Alpha’s coals. We went from zero shipments in 2019 to a lot of shipments over a million tons in 2021 and now we're back to near zero. So I always, joke anyone that has a strategic plan for China, you just can't have it in the U.S. coal industry. So we don't view China as strategic, we view it as more opportunistic. So our focus has been moving our 15 million tons of met coal into our natural markets, which includes much of Asia, but not China as well as Europe, South America, North America. So the long answer there is, it hasn't impacted us directly. Certainly the market price, you can argue, the Australian coal that used to go to China had to go somewhere else, but it's found markets at quite good pricing here over the last year. So I think that answers your question.
Jonathan Everett: Yes, it does. And then turning to India, I know that this is an important country for Alpha. Can you speak a little bit about the dynamics in the country? Presumably, it's doing well. But just want to know what are you seeing into the fourth quarter, and are you getting good traction with new companies? I know you have very strong relationships that expand decades, but just want to know how about new companies there?
David Stetson: Certainly, we see India as a growth market for us. You're correct that the steel industry is performing a little better in India than it is in many of our other markets. But I don't want to get too granular here, but we do – we supply coal to several important customers in India. And all of them from our view are experiencing again, probably a little higher steel production rates than we see in other countries at the moment.
Jonathan Everett: Okay. And in terms of the new customers in India, like, is that tracking well? Or is the strong relationships with prior customers is really the main focus?
David Stetson: Some of both. We're always – we take care of our current customers first, and we're always looking for a new customer as well. So I would answer that question by saying some of both.
Jonathan Everett: Okay. And last one for me, can you speak a little bit more like on expenses for pricing and handling it? How are they tracking in the fourth quarter? And following up on that, just given the company's current cost structure, like what would be a range at least of the company's break-even met coal price?
Andy Eidson: Hey, Jonathan, this is Andy. I'm sorry, could you repeat the first part? I thought I heard expansion. I think you broke up a little bit.
Jonathan Everett: Sure. Just wanted to get a little more color on how freight and handling is tracking in the fourth quarter so far?
Andy Eidson: Oh, okay. So transportation costs.
Jonathan Everett: Yes.
Andy Eidson: Yes. I mean, we can't really say too much about the quantum of the cost, that's all confidential in our contracts. I mean, things are pretty static right now as they've been for a while, so the cost kind of is what it is. And as Dan mentioned in his remarks, performance from the railroads has been from our perspective really quite solid. Obviously, there are a couple hiccups here and there, but they've done a really nice job of getting things, back on track and really not too much more to add on that perspective. And you had the second part to your question.
Jonathan Everett: Right, just given the current cost structure for the company, like what would be a good range to have for the company's breakeven met coal price?
Andy Eidson: Yes. I mean, we can't really guide to that. We're still working on budget materials and again, certain aspects of our cost structure are confidential, whether it's freight and handling or other portions that we generally don't talk about. But again, as we do every year when we issue our guidance, which hopefully will be, not too far in the future, we'll give everyone every number that they need to get down to bottom line numbers except for your price deck. You got to pick your own price deck, but we'll give you everything else, so just stay tuned in that regard.
Jonathan Everett: Okay. Thank you. And if I may, I'll get back into the – back of the line after this question. But I know there's no CapEx guidance for 2023 yet, but when we look at 2022, is that base – is that a good base to build into 2023? Or is that maybe a little bit too high?
Andy Eidson: Well, again, we're not giving guidance on that yet, so I don't want to – I'm not going to give you guidance when I said not going to give you guidance. We want to wait until we get the numbers all nailed down and then we'll have something that we can all chat about here shortly.
Jonathan Everett: Sounds good. Thank you so much. Congrats on the quarter.
Operator: Our next question comes from Nathan Martin with The Benchmark Company. Please proceed with your question.
Nathan Martin: Thanks, operator. Good morning, everyone. Thanks for taking my questions. I'll start maybe on the cash flow side, cash from ops up quarter-over-quarter to that record $497 million you guys called out. Looks like the driver with a big positive swing of working cap. Maybe if we just get a little more color there and then maybe an idea of what to kind of expect in the fourth quarter? Thanks.
Todd Munsey: Yes. I can start on that one. This is Todd. There was some working capital movement contributing to the operating cash flow in the fourth quarter, about 200 million roughly. And I think where receivables are now, they're trending where we think they should be fairly stable given pricing. So I mean, it's hard to estimate working capital movement, but we don't expect, given the leveling off in prices that we've had a repeat performance of that in Q4. So I think that's sort of the way we're thinking about that in Q4.
Nathan Martin: That's great. Todd, appreciate it, and good to hear from you. And maybe also on the cash return side, congratulations there again, raising the quarterly dividend, increasing the share buyback and paying what I think was your first special dividend in quite some time. Just curious, has there been any discussion of a more, maybe formulaic approach to shareholder returns that some of your peers have started? Also, are there any minimum cash or liquidity levels that we should keep in mind when considering what future returns could look like? Thanks. 
David Stetson: Yes. Nat, good to talk to you. Let me take the back piece of that. In my last earnings call, I forgot whether it was, Andy or myself, but from our view on it, and it can vary from time to time. We've put our cash reserves that we like to see in the 250 to 300 range. So that's kind of where we like to see on our books. This time, we obviously were at $400 million on our book to cash, but that's generally the range. I can tell you on our share return program, our shareholders have been very appreciative of our share repurchase programs. We continue to believe that our stock is undervalued. When – internally look at the – when we look at what comes out in the public streets, they've had us at 17 million shares, when we're sitting there going, but we're at 15.9, so we believe our stock is woefully undervalued. And so therefore, our focus, and as you can tell from the board, we’re doing a $1 billion into the share purchase program that should give everybody a strong feeling of where our heart is at this point in time. We were appreciative of our shareholders, so we did the one-time $5, but it's very clear and we announce a $1 billion for share return program that is setting our priorities as a company. So we're thrilled that we we're able to do that, and our shareholders are appreciative of it.
Nathan Martin: Thank you for those comments, David. And I mean, any discussion of a more formulaic approach. Again, as you succinctly just said, I mean, the clear preference has been share buybacks. I think maybe the special this quarter was something some hadn't considered. So I mean, maybe looking forward, if you have excess cash again, like you do this quarter, would specially be something consider again, just any other thoughts? 
David Stetson: Well, we haven't established any kind of – I've saw some of our colleagues in the industry have done that. We have not, we like the ability of the Board to have discretion, but again, at this point in time, I would say our focus is on the share purchase, and that's where our focus is going to be for the things change as time goes on, but right now that's our priority, and we're I don't see us deviating from that anytime soon.
Nathan Martin: Got it. Appreciate that. And then maybe just final follow-up for Dan. Appreciate the update on the transportation side, rail specifically, how are things running at the port? Just curious on that end of things, and then anything you guys can do to prepare for a potential railroad strike?
Daniel Horn: Well, the ports are running very well. We're hitting our numbers at DTA quite well. We're very pleased with DTAs performance. So the challenge has been getting the coal from the mines to the ports and as we pointed out, that's been improving quite a bit as the year went on. So no real issues there to speak of Nat. With regard to a strike, we're in the same boat as the other producers are. We certainly don't want to see one. We ship as much coal as we can when it's appropriate to the peers anyway, we'd rather have the inventory at the peers than we would at the mine. So that's kind of normal course of business for us. 
Nathan Martin: Makes sense, Dan. I appreciate that. I'll leave it there. Very helpful guys. Thank you for the time. David, best of luck as you move on to the next phase and best of luck to you guys as you wrap up the year.
David Stetson: Thanks very much.
Todd Munsey: Thanks, Nat.
Operator: Our next question is from Lucas Pipes with B. Riley Securities. Please proceed with your question.
Lucas Pipes: Thank you very much for taking my follow-up. On the cost side. Just wanted to get your perspective on how inputs are trending here? Are unit costs for parts still going up or have they flatlined? Are they going down? Unit costs for steel roof bolts, et cetera, Is that starting to come down with steel prices having trended lower over the summer? Would appreciate your perspective on that. And then on labor, how tight is the labor market today? Where are you, if any, seeing any bottlenecks? Thank you for your color.
Andy Eidson: Hey, Lucas. It's Andy. I'll hit a couple of those at a high level and then I'll ask Jason to pop-in and give you better answers than I'm giving you. I think generally speaking, and we're still going through the budget as we mentioned, but this inflationary pressure is real and it's continuing. And so we are seeing increased costs across our input. It may have slowed down a tab, but it's still much more than we're used to in a typical year, particularly going through the budgeting cycle. So whether it's cost of rubber for belts or steel for roof bolts or any other piece of equipment out there that we are continue to see some increase in there. And then on the labor side, I'll go ahead and kick it over to Jason for his comments on how the labor market's playing out right now.
Jason Whitehead: Yes. Thanks, Andy. Andy is right, I mean the inflationary pressures have continued, but I would say that there is some probably moderate flattening of the curve in real time. You commented on steel pricing and that's true. Those things are falling off. Diesels in short supply. Fortunately, a large percentage of our diesel fuel has been hedged. So we feel like we've built a little bit of security around that. On the labor front, it's kind of a bit of the same. It's still very, very competitive. But we have seen turnover decreasing relative to months early in the year. Still a very tight labor market, but mild-to-moderate improvement I guess.
Lucas Pipes: Thank you very much for your perspective, and best of luck. Thank you.
Jason Whitehead: Thank you.
David Stetson: Thanks, Lucas.
Operator: We have reached the end of the question-and-answer session. I would now like to turn the call over to David Stetson for closing comments.
David Stetson: Thank you very much. Thanks everyone for getting on the call today with us. Another strong quarter by Alpha, we're very pleased with it, and everybody have a wonderful rest of their week. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.